Operator: Good morning, everyone, and welcome to Strayer Education Inc. Second Quarter 2015 Earnings Results Conference Call. This call is being recorded. For those of you who wish to listen to the conference via the Internet, please go to strayereducation.com, where the call will be archived. With us today to discuss the results are Robert Silberman, Executive Chairman for Strayer Education; Karl McDonnell, Chief Executive Officer; and Daniel Jackson, Executive Vice President and Chief Financial Officer. Following Strayer's remarks, we will open the call for questions and answers. I would like to remind everyone that today's press release contains, and certain information on this call may contain, statements that are forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act. These statements are based on the company's current expectations and are subject to a number of assumptions, uncertainties and risks that the company has identified in the paragraph on forward-looking statements at the end of its press release that could cause the company's actual results to differ materially. Further information about these and other relevant uncertainties may be found in the company's Annual Report on Form 10-K and its other filings with the Securities and Exchange Commission. Copies of these filings and the full press release are available online and upon request from the company's Investor Relations department. And now, I would like to turn the call over to Robert Silberman. Mr. Silberman, please go ahead.
Robert Silberman: Thank you, operator. And good morning, ladies and gentlemen. We're going to begin this morning with Karl discussing our company's operating results for the second quarter, including our enrollment results for Strayer University summer term. Dan will then report our detailed financial results for the second quarter and then we’ll all stay as long as you need for questions. Karl?
Karl McDonnell: Thanks, Rob and good morning everyone. First let me just say that we were very pleased with both our results for the second quarter as well as with our enrollment results for the summer academic term which grew on a year-over-year basis for the first time in several years and which I will comment on momentarily. First, regarding the second quarter’s performance. Revenue per student declined 1.6% from the prior year which was less of a decrease than we originally anticipated due largely to a lower drop rate. For the full year 2015 we still expect revenue per student to be down roughly 4%. In terms of our operating expenses, marketing was up about 10% versus last year and that reflects some additional expenses associated with developing new creative content and also supporting Strayer@Work. For the full year, we would expect marketing to be up in the mid single digits. Bad debt continues to perform well at 3.2% and we think that’s a product of ongoing enhancements to the academic experience which we’ve made and has resulted in higher retention and fewer drops. Given that work halfway through the year and also have visibility into the third quarter’s enrollment, we have a better sense of our operating expense outlook for the full year. At the beginning of the year we said that we expected our operating expenses in 2015 to be up 1% to 2% based on various initiatives that we would have underway. Those initiatives are still in progress but our ability to fund ongoing productivity improvements has offset some of the incremental expense associated with funding these initiatives. And as a result, instead of being up 1% to 2% we now expect our operating expenses to be essentially flat versus 2014. Turning now to our enrollment results for the summer academic term. Our total enrollment increased 2% to 37,221 students and clearly showing total enrollment growth is a big milestone for us. We were pleased that this increase was driven by continued strong improvements in student retention as well as new student growth. Our continuation rate increased 210 basis points which was on top of the more than 200 basis point increase we had last summer. New students grew 4% with meaningful contributions coming from two of our big strategic efforts, the Jack Welch Management Institute and Strayer@Work. Our national accounts continued to perform much better than the broader university. Total enrollment for national accounts grew 12% for the summer term representing the ninth consecutive quarter of total enrollment growth. That segment has been growing total enrollment now for more than two years. New students from national accounts grew 14% and we added 11 new clients during the quarter. We were also very pleased today to announce our second Degrees@Work client, TeleTech which is a large B2B outsource solutions provider for customer service and technology functions. And in addition to the Degrees@Work clients, we were also actively engaged building proprietary and customized learning solutions for several Fortune 100 companies across several industries. And finally, the Jack Welch Management Institute continues to perform exceptionally well. Total enrollment there increased 38% versus the prior year and their continuation rate which is already the highest in the University increased 78 basis points from last year. Dan?
Daniel Jackson: Thank you, Karl and good morning everyone. I’ll start with revenue which for the second quarter was $109.8 million, a decrease of 3% from 2014. The decrease was driven by lower enrollments which were down 1% in our spring academic term and lower revenue per student which declined 2%. As Karl mentioned, the decline in revenue per student was slightly better than we expected as lower drops offset the continued mix shift to our lower tuition paying undergrads. Our income from operations was $20.9 million compared to $24 million for the same period last year, a decrease of 13%. Our income from operations includes non-cash adjustments to our liability for losses on facilities we are no longer. Excluding these items, income from operations was $21 million for the second quarter this year and $22.6 million last year. Our operating margin was 19.2% for the quarter compared to 20.1% in 2014 when excluding the non-cash adjustments. And as Karl mentioned, our bad debt expense as a percentage of revenues was 3.2% for the quarter, unchanged from the same period in 2014. Net income for the quarter was $11.9 million compared to $13.7 million for the same period in 2014, a decrease of 13%. Excluding the non-cash adjustments, net income was $11.9 million this year and $12.9 million for same period last year. Diluted earnings per share decreased 14% to $1.11 compared to $1.29 last year. Excluding the non-cash adjustments, EPS remained $1.11 this year compared to $1.21 last year. Diluted weighted average shares increased slightly to 10,705,000 from 10,623,000 for the same period in 2014. Our results for the first half of the year were consistent with the second quarter. Revenues decreased 3% to $221.6 million compared to $229.2 million in the first half of 2014 due to lower enrollment which was down on average 1% and lower revenue per student which was down about 2%. Income from operations was $40.8 million for the first half of 2015 compared to $49.9 million in 2014, a decrease of 18%. Excluding our non-cash adjustments, income from operations was $40.7 million and $47.6 million for the first half of 2015 and ‘14 respectively. Excluding non-cash adjustments, our operating margin was 18.4% in the first half of 2015 compared to 20.8% in 2014. Net income was $23.3 million for the first half of this year compared to $28.5 million last year, a decrease of 18%. Excluding non-cash adjustments, net income was $23.2 million this year compared to $27.1 million in 2014. Diluted earnings per share was $2.17 compared to $2.68 for the same period in 2014, a decrease of 19%. Excluding non-cash adjustments, diluted earnings per share was $2.17 this year again compared to $2.55 for the same period in 2014. And our diluted weighted average shares outstanding for the first half of the year increased again slightly from – sorry – to 10,721,000 from 10,602,000 in 2014. As of the second quarter, we had cash and equivalents of $195.6 million. We generated $43.5 million in cash from operating activities in the first half of 2015 compared to $45.2 million in the first half of 2014. Our capital expenditures were $7.1 million for the first half of this year compared to $2.3 million for the same period in 2014. And as I mentioned last quarter, our capital expenditures are up in 2015 as we continue to make investments in new programs and technology as well as in renovations to a few key campus facilities. Now regarding our credit facility. As of the end of our second quarter, we had $115.6 million outstanding under our term loan and no outstanding balance on our revolver. And as we previously announced on July 2, we prepaid the entire outstanding principal balance of our term loan and amended our existing credit agreement. The amendment extends the maturity date of our revolver from December 31, 2016 to July 2, 2020 and increases available borrowings from $100 million to $150 with an option to increase it another $50 million. Currently we have no outstanding borrowings under the new facility. And finally we continue to maintain $70 million of share repurchase authorization that we did not purchase any shares during the second quarter. Rob?
Robert Silberman: Thanks, Dan. It was a fairly straightforward quarter from my perspective, so I don’t have a lot to add. I do want to point out though that with the prepayment of our term loan and the increase in the extension of our revolver to $200 million until 2020, we’ve cleaned up our balance sheet and put ourselves in a position to take advantage both of growth opportunities in the business and potential redeployment of capital to our owners. And with that operator, we would be pleased to answer any questions. 
Operator: [Operator Instructions] Our first question comes from the line of Peter Appert of Piper Jaffray.
Peter Appert : Thanks, good morning. So better retention numbers are very impressive, anything you’d call out in terms of what you think is contributing to that?
Karl McDonnell: Sure, Peter. We’ve had very good retention for -- going on the last year now and it really is a combination of many enhancements that we are trying to make to the student academic experience. But I guess I would say it’s all centered on a concept that we’ve developed called relative student engagement where we are using predictive data to better understand learning styles and where students might get hung up. But using that data we’re able to make adjustments to curricula, to faculty scheduling and pairing faculty member with students of a certain learning style and so those efforts continue. We think there's still opportunity. There's always opportunity to improve but the retention efforts that we’ve had over the last year have been centered around better understanding how students learn and adjusting the way that we teach them in the classroom. 
Peter Appert : And then can you give any quantification in terms of the current scale of the Jack Welch and the Strayer@Work programs and how big do you think they could be as their percent of the total operation? 
Karl McDonnell: Well, first regarding the Jack Welch Management Institutes, when we made that acquisition a little over two years ago they had really a fewer than 100 students. They’ll cross 2015 with over 1000 students. So we've added 1000 new MBA students inside of two years. They grew 38% quarter, they have terrific outcomes. So we see high levels of satisfaction. We see very strong as reported by our students and our graduates outcomes in their profession. So I can't give you an exact number of how big it will be but it will be much bigger than it is today over the coming years. And then with respect to Strayer@Work, we only had it launched about half of the quarter and we ended up with several hundred students as a result. The fall academic term will be the first quarter of that has a full quarter of enrollment opportunity for now are two Degrees@Work clients. Again I can't peg a specific number other than over the course of several years we expect that, that will be a very meaningful part of what our he student body looks like.
Daniel Jackson: And Peter, we also would expect to get other clients as well. So you get growth in the two that we have and then Karl’s team has got I think a effective effort sort of describing what the value is of this program and hopefully having other clients as well.
Peter Appert : Just one last thing please. Is there any meaningful cost to customize the curriculum for these offerings, are there any margin implications around this?
Karl McDonnell: There hasn’t been yet and I can't foresee what future clients might want in the way of customization. But we – this is a pretty complicated effort and as I said I think last quarter the Chrysler arrangement took almost a year in it of itself to really build out. And so we would have to think about how we would price a Degrees@Work offering if there was some massive level of customization that we hadn't anticipated and the economics of that would be relative to whatever that specific arrangement was. 
Operator: Thank you. Our next question comes from the line of Corey Greendale, First Analysis.
Corey Greendale : I had a couple of questions on Strayer@Work as well and I understand the caveat by saying that you are not going to give away kind of proprietary – how you are doing this but interested in kind of a go to market approach on this, do you have a large business development team that’s calling on a bunch of employers or just how are you approaching part of this? 
Karl McDonnell: Well, it’s a wide ranging effort that involves having ongoing discussions with companies that we already have relationships with. So you probably know, Corey, that we have national account agreements with over 300 companies. And so we’re always engaging those organizations in different ways and talking about how we can better innovate the way that higher education is imagined and delivered. And we’re starting to have companies contact us now based on the Fiat Chrysler announcement and other avenues where we get referrals from existing national account companies. So at any moment in time we’re having discussions with lots of organizations about the way that they are developing and training their talent. And I think what you see in Fiat Chrysler and TeleTech and future companies is they really see enabling educational access as a business driver to attract and retain a better talent. It’s a big strategic enabler for them and we’re happy to be a partner in that case.
Karl McDonnell: Corey, I think the direct answer to your question if it was answered by our team at Strayer@Work is they consider themselves small but effective. 
Corey Greendale : Well I consider myself to be that person. So following up on that, would you say that the team is more having to kind of work with companies to persuade them of the value of a program like this at all versus the value of Strayer specifically? Are you seeing – just given that there are others like obviously the very high profiled ASU, Starbucks arrangement, their RFPs are due once the discussion starts, is it pretty much a did they go – having to talk to others?
Karl McDonnell: Well, we only have two of these under our belt, neither one went through an RFP. The assumptions that we make around employee participation and turnover reduction and so forth, those are well grounded in experiences that we’ve had with other organizations, Verizon, for example, we’ve been one of their largest if not the largest educational partner to them for many years now. And so we've done a lot of research and how participating in educational programs can affect employee retention and performance for that matter and there are some very impressive statistics around that stuff. And so what we've done with Strayer@Work is we take that information and that data and we’re having a different kind of conversation with the business leaders of these organizations around not just thinking about education as a benefit in the way that maybe healthcare is or something like that, but much more as a real strategic enabler to attract the very best talent that you can in whatever market that you’re competing in and then getting pretty sizable gains in employee retention which every CEO that we talk to that’s right up on the top of their radar screen is talent management, and particularly retention. 
Robert Silberman: And employee performance. 
Karl McDonnell: I mentioned it in my prepared remarks, Corey, that the big headline grabbing efforts have been Chrysler's announcement and now TeleTech but as I said we are engaged now with several Fortune 100 companies doing what we call Skills@Work which is another product that we have, which is proprietary and customized training solutions that are delivered across mobile platforms, online platforms and it's all directed at achieving a higher level of performance for these organizations. 
Corey Greendale : And I appreciate [indiscernible] obviously intrigued by kind of the attraction this new approach. My assumption and please correct me if this is wrong is that TeleTech and Chrysler, that that’s going to be primarily a bachelor degree, associate graduate degrees, is that right?
Karl McDonnell: Well all degree levels are open for participation. So an employee at either organization could elect to get a Masters degree if they want. To be honest with you, of the several hundred students that enrolled for summer I don't have the breakdown of how many were undergrad versus grad. I would imagine it mirrors to some degree what our overall performance is a third graduate, and two-thirds undergraduate but I don't have the exact numbers.
Corey Greendale : And just one last quick one, and I will turn it over. Given the success with Jack Welch, do you think there is potential to replicate that in other verticals like the [indiscernible] School of IT or anything like that?
Robert Silberman: There could be. I mean it’s not something that we’re actively pursuing at the moment. But as I said we couldn't be happier with the way that the Jack Welch Management Institute has performed and we think there is just tons of opportunity there. It’s still a fairly young and nascent brand as an education entity and as awareness of that product grows, I think it will, as I said earlier, become to be a very sizable part of our portfolio of students. 
Robert Silberman: In some ways, Corey, it was almost uniquely matched to what our culture and heritage has been. I mean for over 120 years we’ve taught business and management. So having someone of Jack stature and experience associated with that it was just a very natural harmony. If we could find similarly situated and accomplished people we’d certainly look at it but I doubt there's another Jack Welch out there. 
Corey Greendale : Maybe the Huron [ph] Valley of Education anyway. 
Operator: Thank you. Our next question comes from the line of Jeff Silber of BMO Capital Markets.
Jeff Silber : Thanks so much. Just wanted to clarify one thing. The enrollment data that you report for Strayer University excludes the Jack Welch Management Institute but includes Strayer@Work; is that correct?
Karl McDonnell: No, the enrollment results that we report for Strayer University include both Jack Welch Management Institute students as well as Strayer@Work students, because those students are enrolled in Strayer University. The degree that is granted to the Jack Welch students is a Strayer University degree and the same thing is obviously true for Strayer@Work. 
Jeff Silber : I appreciate you clarifying that. So let’s strip out Jack Welch Management Institute and Strayer@Work, can you just talk about how the core business is doing beyond that, any specific trend in your verticals?
Karl McDonnell: Sure. So in terms of degree mix performance, it’s somewhat mirrored last quarter. New graduate students excluding Jack Welch improved slightly but it was still down low double digits and new undergraduate students was quite strong. We had growth in new students when you exclude both JWMI and Strayer@Work but obviously the strong performance of both of those is where we netted out at 4% up for new students. 
Jeff Silber : And in terms of the actual degree verticals, technology versus business, are you seeing any specific trends there?
Karl McDonnell: No, nothing that I would call out.
Jeff Silber : And then just a couple of numbers questions, for modeling purposes what should we be using for tax rate for the rest of the year and capital expenditures?
Daniel Jackson: Jeff, we are still sort of 39 to 39.5 on taxes and for CapEx I think we said before the range was 10 to 12, we are at the upper end of that range. 
Operator: [Operator Instructions] Our next question comes from the line of Paul Ginocchio of Deutsche Bank.
Paul Ginocchio : Thank you. And Karl, any update or review on the typical classes per year a Strayer@Work student will take from one of these corporates? Thank you and then I’ve got one follow up.
Karl McDonnell: Sure. I think it's just too early. I'm guessing that the performance of Strayer@Work students is going to largely mirror what our regular students do which is take two classes at the undergraduate level per quarter, maybe 10 three quarters a year, lot of students like to take the summer off. But honestly, Paul, I think we are going to need two, three quarters under our belt to see if there's any change in things like that.
Paul Ginocchio : And just with GE plan you’re going through, I would assume it’s not much impact but is there anything we should be watching out for – anything that you will need to change – 
Karl McDonnell: We don't believe so, no, we've already submitted all of our program data to the department and as we’ve said previously we don't anticipate any issues under gain for employment. 
Operator: Thank you. Our next question comes from the line of Sara Gubins of Merrill Lynch. 
David Chu: Hi this is David Chu for Sara. So in terms of revenue per student given that 1Q and 2Q were better than your 2015 outlook. Why do you still expect the 4% decline?
Karl McDonnell: Yes, let me put revenue per student maybe in a little bit of a larger context. So we obviously lowered our undergraduate tuition at the beginning of 2014 and we knew that that was going to have a detrimental impact on revenue per student over some period of time as each new cohort of new undergraduate students was rolled in at the undergraduate – I am sorry – at the lower tuition. Last year for 2014, that reduction was about 3.25%, heading into 2015 because more cohorts would be on the lower undergraduate tuition, we said initially we thought revenue per student would be down in the 4% to 5% range. However in the first half of this year, as a result of a better retention which leads to a lower drop rate we've been able to offset some of that decline in revenue per student. Those gains that we made in student retention and the lower drop rate really started happening in the third quarter of last year. So we are going to begin to anniversary those gains heading into the next quarter and whatever offset we've enjoyed in the first half of the year is likely to not be as great if at all in the back half of the year. And that’s why we think revenue per student will be down roughly 4% this year. Next year we would expect that revenue per student would be down roughly 100 basis point excluding any impact from Strayer@Work and that’s something that we just don't know. If we see large increases in Strayer@Work students there could be an additional decline above the roughly 100 basis point decline that we’re already expecting in 2016. But as we said before that would be a trade-off that we would be very happy to make because we see Strayer@Work is a really important strategic effort.
David Chu: And on that, I mean do you think that retention can improve in the back half or would it be difficult given the improvements that you have seen over the last four quarters or so?
Karl McDonnell: Well, all I can say is the efforts that -- the efforts that are underway to impact completion and retention and student satisfaction are going to continue. Whether or not they result in future gains, that remains to be seen. We don't really comment on forward-looking enrollment but all of the efforts that underpin the gains we’ve had thus far will continue and we’ll continue to make enhancements throughout the year. 
David Chu: And just lastly so I would imagine that these metrics are trending favourably but if you can just discuss lead flow and conversion rate trends?
Karl McDonnell: We've seen a healthy demand environment for the better part of the year and beyond that we don't really comment. End of Q&A
Operator: Thank you and that does conclude our question and answer period. I’d like to turn the conference back over to Mr. Robert Silberman for any closing remarks. 
Robert Silberman: Thank you, Ben and thank you all for participating. We look forward to talking with you again in October. If you do have any other questions, please give Dan or Karl or I a call, we’d be glad to cover whatever we can. Thank you.